Operator: Good afternoon, and welcome to the Universal Technical Institute Second Quarter 2014 Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded. A replay of the call will be available for 60 days at www.uti.edu or, through May 9, 2014, by dialing (412) 317-0088 or (877) 344-7529 and entering passcode 10044353.
 At this time, I'd like to turn the conference over to Mr. John Jenson, Vice President and Corporate Controller of Universal Technical Institute. Please go ahead. 
John Jenson: Hello, and thanks for joining us. With me today are Kim McWaters, Chairman and CEO; and Eugene Putnam, President and CFO. During today's call, we'll review the results of our second quarter and take your questions.
 Before we begin, we must remind everyone that except for historical information, today's call may contain forward-looking statements as defined by Section 21E of the Securities Exchange Act of 1934 and Section 27A of the amended Securities Act of 1933. I'll refer you to today's news release for UTI's comments on that topic. The Safe Harbor statement in the release also applies to everything discussed during this conference call, including initial comments by management as well as answers to questions.
 During today's call, we'll make reference to EBITDA, which is a non-GAAP measure representing net income exclusive of interest, income taxes, depreciation and amortization. The schedule provided in the earnings release reconciles EBITDA to the nearest corresponding GAAP measure, net income.
 And now I'd like to turn the call over to Kim McWaters, our Chairman and Chief Executive Officer. Kim? 
Kimberly McWaters: Hello, everyone, and thank you for joining us on our call today.
 As we expected, the second quarter was difficult from a financial perspective, but we continue to make progress against our core objectives of continuing to deliver value and strong outcomes for our students, growing our student population so we can meet our customer's increasing demand for trained technicians and managing costs and improving operating efficiencies. Achieving these goals is a matter of balance. We're balancing strong transportation industry dynamics with a challenging regulatory and economic environment. We're balancing tried and true strategies with the need to innovate and change. And we're balancing diligent cost control with thoughtful targeted investments and growth. America's transportation industry is once again thriving, and the demand for well-trained technicians continues to grow. There are more than 1.1 million auto, diesel, motorcycle, marine and collision repair jobs in the country, and these jobs are expected to grow nearly 10% through 2022. That creates plenty of opportunity for our graduates and for UTI, and we believe we are well positioned to meet the growing demand.
 We understand that our industry-driven focus and our strong relationships help us offer high-tech, high-touch education that's specific to our customers' needs. Our educational programs and delivery models specifically cover the wants and needs of our industry customers, providing our students access to some of the most relevant tools and technologies. As a result, our student outcomes are strong and they're getting better. Our graduates leave UTI ready to find good-paying jobs in an industry that offers plenty of opportunity for advancement. But for so many qualified students who have dreams and aspirations of becoming a technician, there are big hurdles to overcome on the path to a good education. Families are feeling the lingering effects of the Great Recession and the slow climb back. They still have less money and fewer options to finance an education, and they continue to be averse to taking on debt. And given the opportunity to work in an unskilled or low-skilled job, many male students are opting for work over education given they've been unable to get work for so long. These challenges require us to continuously adapt and innovate while leveraging our inherent strengths. And all things considered, we've made good progress on a number of fronts.
 We are intently focused on managing costs so we can fund ongoing investments in the future and improve our financial results. Our fundamental strengths continue to serve us well. And even with all the uncertainty and change, we're still delivering good outcomes for our students. We are making calculated investments in our curriculum so we can keep pace with industries' needs and give our students a high-quality education that leads to gainful employment. But our area of greatest focus remains on the front end of the business where we continue to innovate and test new ways to rebuild our student population. This work is focused on efficiently growing new student starts by generating more inquiries from students most likely to come to school, on finding ways to help them afford a UTI education and keeping them engaged throughout the process. A number of these initiatives are working; others, yet to be fully implemented. And still, others simply need more time to deliver results. And while we feel good about where we're going and our work to date, we're also clear that some of the things we try just won't deliver as we expect them to. So along the way, we're learning what works and what doesn't, and we're modifying our approach and adjusting to ongoing regulatory and marketplaces changes.
 We are clear eyed about the challenges we face, but we're also confident in our strategy and committed to the process. In everything we do, we continue to strike a balance between driving growth to meet the needs of our students and our customers and delivering efficiencies to meet the needs of our business and deliver value for our shareholders.
 With that, I'll turn it over to Eugene for a more detailed look at our second quarter results. Eugene? 
Eugene Putnam: Thanks, Kim.
 We began the second quarter with 800 fewer students than last year. However, with a very nice increase in new student starts, we ended the quarter with about 14,300 students, which is only down 100 students from this time last year. Despite continuing pressure on show rate, which was down about 450 basis points, student starts were still up about 7% for the quarter in line with our previous guidance.
 Revenue for the second quarter was $94.7 million, which was basically flat from last year. Our average tuition per student was up 1.8% for the quarter to approximately $6,500. Tuition excluded $6.6 million related to our loan program compared to $5.2 million in the second quarter of last year, reflecting continued difficulties for students and parents to secure financing for their education.
 For the first half of 2014, revenues were approximately $191.7 million, which was down about 1% for the same period last year. With continued efforts to control costs, this revenue level yielded an operating loss of $1.5 million for the quarter, which bettered last year's operating loss of $1.9 million. The quarter's operating loss was driven, in large part, by increased spend in advertising, which was up $1.6 million compared with the same time, same quarter last year. Advertising expense came in at $12.4 million for the quarter, which represented approximately 13% of revenue, up from 11% last year.
 Kim will spend more time on this, but it's important to note that the second quarter is seasonally a very important quarter for advertising and inquiry generation, and we are continuing to respond to challenges we have experienced with the introduction of a new TCPA language.
 Managing expenses continues to be a very important focus while we're working to increase our student populations. We have and we will continue to manage our variable costs to appropriately align with our student populations. And we continue to look for opportunities where costs may be either deferred or avoided.
 Bad debt expense as a percentage of revenue was less than 1% in the quarter. And EBITDA was $4.3 million in the second quarter, which was up from $4.2 million last year. For the first half of 2014, EBITDA was $13.1 million versus $16.3 million for the same time last year.
 Our net loss for the quarter was $1.5 million or negative $0.06 per share. That compared to a net loss of $1 million or $0.04 per share last year. Year-to-date, our net income was about $200,000 or $0.01 a share compared to $0.11 per share last year.
 The income tax benefit for the 3 months ended March 31 was $300,000, which is only 14.7% of our pretax loss compared to 43.3% last year. Our provision for income taxes for the first half of the year was $1.3 million compared to $1.9 million.
 As we previously disclosed during last quarter, stock-based compensation awards granted upon our initial public offering 10 years ago that expire underwater require a write-off of the related tax -- deferred tax asset, which adversely impacts the income tax rate. The noncash write-off at deferred taxes resulted in $400,000 in additional income tax expense for the second quarter and $500,000 year-to-date. In future periods, we likely will experience variability in our income tax expense depending on the price of our stock as well as the timing of expiration, exercise, investing of past stock-based compensation awards. This variability could result in income tax rates that are substantially different from the federal statutory and/or our historical tax rate due to these noncash charges. If our stock price remains relatively consistent with last year's average price -- I'm sorry, last quarter's average price, the impact of any adjustments to the deferred tax asset for the second half of the year is expected to be less than $200,000, resulting in a full year impact in the range of $400,000 to $700,000.
 Moving to our balance sheet. We had cash, cash equivalents and investments of roughly $102 million at the end of the second quarter compared to $97.4 million at September 30. In the first 6 months of 2014, we generated cash of almost $16 million compared to $7.6 million for the first half of last year. And other than the financing obligation related to our Lisle facility, we continue to have no debt on our balance sheet.
 During the quarter, we invested $2.6 million in fixed assets, which was up from $1.4 million last year. And finally, in the second quarter, we returned $2.8 million to shareholders in the form of both dividend payments and stock repurchases. For the first half of 2014, we've returned a total of $5.3 million to our shareholders.
 With that, I'll turn it back to Kim for some details on our marketing and admissions efforts. 
Kimberly McWaters: Thanks, Eugene.
 To meet our industry customer's growing demand for trained technicians and build a business capable of generating long-term results, UTI is focused on finding the most efficient and effective ways to grow our student population. During the second quarter, we continued to implement a media optimization strategy intended to drive new student growth more efficiently and effectively. This shift continued to move the company away from an inquiry volume focus. As a reminder, our overall objective is to generate a greater number of student inquiries with a higher propensity to start school.
 The good news is, despite a 7% decrease in inquiry volume year-over-year, of those inquiries we did generate, the propensity for those students to start increased 11.5%, resulting in approximately 5% year-over-year growth in the number of predicted starts. We are still trying to find the right balance between efficiency and growth and ideally would like to generate both higher-volume and higher-propensity inquiries to effectively grow the business. Contributors to inquiry volume decline during the second quarter were some lingering effects of the TCPA language implemented and modified during our first half of the year. Some television clearance issues, as well as some television saturation issues, on certain networks and programs impacted our inquiry volume. Competitive pressure in key media channels also continued to pressure cost efficiencies.
 While we increased our advertising spend in the second quarter to address the challenges I just mentioned seasonally, it is the highest level of the advertising spend for the year. We still expect to see advertising expense for the full year come in a little higher than 10% of revenue for the full year.
 New student applications grew more than 3% in the second quarter, marking our fourth consecutive quarter of application growth. New applications from adults were up almost 2%, and applications from high school students grew nearly 5%. While access to the military segment continues to be a challenge, military applications were still up just a little over 2%. We were also pleased to see that students are enrolling at a higher rate in certain manufacturer-specific programs that don't require prerequisites. This is a positive trend for our students, employers and our business.
 While new student starts were up in the second quarter, the reality is that our students continue to face big hurdles when it comes to getting an education and we still have too many students who are scheduled to start school but failed to show up for school. Despite significant investments to improve customer service levels, simplify processes and to increase targeted scholarships, we still see pressure on the rate at which students scheduled to start school actually do so. That, in conjunction with some improvement in the unemployment rates for our target demographic, makes us a little more cautious about our outlook for new student starts for the remainder of 2014 and requires our focus on keeping students engaged from their first inquiry to their first day of class.
 We continue to provide admissions teams with new tools to help them work more efficiently and to engage in quality interactions with students. During the second quarter, we expanded the test for inquiry filtering, which helps our representatives identify and focus on prospective students who are most likely to come to school. The model appears to be yielding improved show rates where it is being tested, and we will continue to expand and learn from this test in the second half of 2014.
 At the high school level, we continue to work with teachers, counselors and students to promote science, technology, engineering and math or STEM courses. So far this year, we posted 400 high school educators in STEM workshops at 1 of our campuses. We teach them how to get their vocational and technical courses effectively STEM-certified, and this supports continued funding for these programs and helps ensure students get exposed to STEM career choices. More than 50% of all STEM careers do not require a 4-year degree, and their average annual salaries are $53,000. In partnership with NASCAR, we're doing all that we can to promote STEM-based careers in the transportation and motorsports industries.
 We've seen an excellent response to our new high school presentation. In this quarter, we'll launch a new in-home presentation. Both presentations feature messages and information designed to resonate with students and their families and to focus on the opportunities available in the transportation industry and, specifically, on the value of a UTI education.
 While new student applications were up in the quarter from the adult population, we have seen some pressure here that we are monitoring very closely. This admissions channel is most directly impacted by the inquiry volume challenges we faced in the first half of the year and also face more affordability challenges than our high school segment. Seasonally, we become more dependent on this channel over the next couple quarters while the high schools are out, so this will be an important area of focus for us in the second half of the year.
 Paying for school is the biggest hurdle we must help our students overcome. Our materials and processes are designed to help potential students and their families understand the true costs and the true value of a UTI education. And we continue to make millions of dollars in both need- and merit-based scholarship moneys available to both deserving and qualified students.
 So with that, I'll ask Eugene to take you through the details of our work in this area, as well as the investments we're making to keep our curricula current, relevant and valuable for our students. Eugene? 
Eugene Putnam: Thanks, again, Kim.
 While we are working to attract and start more high-quality students, with a heavy emphasis on the front end of the business, we also continue to focus on ensuring we offer a product that delivers substantial value and prepares our graduates to meet industries' needs. Additionally, we continue our efforts to manage the business efficiently and to reduce costs where appropriate.
 Strong industry relationships remain critical to our ability to deliver quality training and, we believe, continue to be an important differentiator for UTI. In December, we announced that we had begun teaching a pilot manufacturer-paid program in partnership with Peterbilt, designed to deliver comprehensive service technician training. I'm pleased to announce that the pilot was completed successfully, and we are now offering this program in our Dallas campus, and we'll be expanding this program to another campus later this year.
 I'm also pleased to announce that we are now teaching classes in our new state-of-the-industry blended learning curricula at our Sacramento campus. So including Avondale and Dallas, we're now teaching that at 3 campuses, with efforts underway to roll it out on a fourth campus later in calendar year 2015. Additionally, we're in the process of preparing our Orlando campus to begin offering our diesel program in early 2015.
 And as we have been discussing, a new campus on a scale similar to our Dallas campus that opened in 2010 is a direction that we are continuing to pursue. We will anticipate having something more substantive to discuss regarding both location and timing in the upcoming couple of quarters.
 We continue to make our loan program accessible to prospective students, as well as offering existing scholarships and testing new ones. Our loan program helps students who are well qualified to attend UTI but have a gap in their financing after completing the financial aid packaging process. During the first half of this year, we have extended approximately $16 million of loans under the program, which is up about 13% from the same period last year. And the year-to-date average individual loan amount of the program is about $5,600.
 And our cash collections on this program continue to improve. During the second quarter, we recorded $1.5 million of revenues and interest from cash payments that we received, which was up from $1 million in the same quarter of last year.
 In an effort to address the real affordability concerns our prospective students face, we continue to offer both merit-based and need-based scholarships as well as scholarships to certain groups of students, such as our military veterans. During the quarter, approximately 37% of our students in school were benefiting from a UTI scholarship, as compared to 31% last year. UTI scholarships reduced gross tuition in the quarter by 3.5% compared to 3.2% last year. During the first half of the year, we began testing a new scholarship to support students who must relocate to attend school. While it is still too early to discuss the results or impacts, students are taking advantage of this program. We will continue to evaluate it, as well as test new ways to help make relocation affordable for our students.
 And as we discussed last quarter, we have partnered with the mikeroweWORKS Foundation to make available approximately $1 million in tuition scholarships for future enrolled students who are passionate about a career in the transportation industry. The program has been up and running and accepting applications for a few months now, and we anticipate awarding these scholarships in the fourth quarter.
 During the second quarter, we graduated about 2,300 students, which is a decrease of 8% compared to the same quarter last year, which is consistent with our decline in our student population. Now of these graduates, 100% of the students in motorcycle programs and approximately 40% of students in the auto and diesel programs graduated with a manufacturer-specific training. Typically, students with this type of training find employment quicker and have the potential to earn a higher starting wage. Additionally, our employers and industry partners benefit by hiring UTI graduates with higher levels of training who are better equipped to go right to work. In the past 12 months, about 9,500 students have graduated from UTI with either degrees or certificates.
 And our overall consolidated graduate employment rate continues to outpace last year's already strong results. We continue to see improvement in all areas of study, with the exception of marine which is currently still lagging behind last year. And importantly, we also continue to see overall increases in starting wage offers to our graduates.
 In closing, let me take a little bit of time to talk about the outlook for the second quarter of the year. Despite reporting meaningful start growth this quarter, with the economic headwinds and affordability challenges persisting, we expect second half starts to be down slightly from last year. Continued expense-management efforts should fund investments in the front end of the business and longer-term growth opportunities yet still lead to reductions in absolute operating expense levels both on a linked-quarter basis from this quarter as well as on a year-over-year basis. And while we expect third quarter results to be very close to breakeven, we currently anticipate a stronger fourth quarter, which should lead to second half operating results being significantly better than last year's.
 With that, operator, I think, we're ready to open the line for questions. Operator? 
Operator: [Operator Instructions] Our first question comes from David Chu at Merrill Lynch. 
David Chu: So can you speak to how you think the impact -- like, what do you think the improving job market is having on show rates? And I think this is the first time you -- Kim, you mentioned that as a deterrent. 
Kimberly McWaters: Yes, I'll give you the information that we're hearing from the front line. And that is, typically, students who are not coming to school suggest that they are actually not doing anything. Until recently, some of the research that we did this last quarter suggested that some students are opting to go to work and take lower, unskilled jobs. I think that could have an impact on the show rates somewhat. I also think it's impacting our inquiry conversion to both application and showing to school. If you remember, the male population or segment has lagged the recovery, from an employment standpoint, of most other workers in the U.S. And so I think that's a bit of a delayed reaction. And for the first time from the front lines, we're hearing that, that is becoming a little bit more of a competitive factor, if you will, on the front end. I still think the major contributor to show rate issues are centered around affordability challenges, however. 
David Chu: Okay, that's helpful. And you also mentioned some television clearance and saturation issues. Can you just discuss that in a bit more detail? 
Kimberly McWaters: Sure. So we have been investing in this media mix model that suggests it's better for us to invest more in television, which we have. And we started off beginning of the calendar year, in January, with great success, decided to increase the television spend in February and March because of those good results, as well as it means to offset some of the TCPA impact that we had. And in doing so, we faced some competition from general advertisers who tend to outbid direct-response advertisers. And so we got -- we had some clearance issues where we were preempted from running. And on the stations where we could run, we saw some saturation issues. And so I guess an easy way to put it is we increased our frequency, but we didn't necessarily increase our reach, so we saw some diminishing returns in the latter part of the quarter. Does that help? 
David Chu: Yes, yes, no, that's helpful. And do you expect that to be an issue in the back half of the year as well? 
Kimberly McWaters: Well, we've seen some easing there, but it does vary by quarter. And I think what we are doing is we're just -- we're rebalancing our television spend based on what we saw in that quarter. And while we know that we'll face some of those things throughout the year, at various times of the year, we believe that we do have the ability and are in the process now of rebalancing some of that spend across television as well as other media channels. 
Operator: Our next question comes from Jason Anderson at Stifel. 
Jason Anderson: Just, I guess, trying to debate here. I mean I know we've talked about acquisitions and that potential, in the past. Is there anything -- and I'm intrigued by your discussion about STEM programs potentially -- is there any way you could -- do you see acquisition potential, particularly with STEMs? I mean I'm looking, maybe thinking of a way you could add a vertical to help populate your campuses, which obviously you have all the capacity to fill up, or even going online. And I know it's way -- a different -- ways away from where your heritage is, but is that -- do you see a potential there and particularly in STEM? 
Eugene Putnam: Yes, we do. I would say we would most likely steer clear of the online, but technical-type training, whether it's STEM or closely related to STEM, I think is absolutely something that is currently under evaluation. And we are looking at some things, not to the point of being raise -- obviously discuss them publicly, but we are actively engaged in looking at different types of add-on curriculums, whether they're de novo or through acquisition, that would either leverage some of our fixed assets, leverage some of our brand marketing, leverage some of our admissions efforts and/or obviously some of our overhead and fixed costs. So I think you're spot-on there: We are clearly looking at some of those things that would market to maybe not the same potential student, because we don't want to just cannibalize, but the type of demographics that we're currently going after. 
Jason Anderson: And I think you guys referenced testing some shorter-length programs. Is it -- could you maybe provide an update on that? Or how is that going? 
Eugene Putnam: Yes. We are testing some shorter-length programs at different times of the day, things like that. It's a little early to tell, but I think a slightly shorter program might be beneficial for us especially when combined with some of our industry partners' manufactured specific training. So we're looking at making some minor tweaks there. And I think that's something that -- that's not going to be a flip a switch and we go from A to B overnight, but I think we will continue to adjust some of our program offerings over the course of the next few quarters basically. 
Kimberly McWaters: If I could just jump in there too. Not only does it offer the benefits that Eugene mentioned, but it also begins to address some of the challenges that we may face, or headwinds, with an improving unemployment rate. What we want is for our students to obviously be able to work and support themselves but to have an education that is convenient for their schedules. And our shift to our new curriculum, shortened programs, different times of day responds to that convenience as well as cost factor that's so important to our students today. 
Operator: Our next question comes from Peter Appert at Piper Jaffray. 
Peter Appert: So Eugene or Kim, I'm interested in your thought process around new campus. What's the message behind that? Do you -- is it that you think there's peak demand [ph] that you're not reaching? 
Eugene Putnam: Sure. So I'm sorry, I didn't hear the last part of it. 
Peter Appert: I was just wondering if it's sort of geographically driven. You see demand in certain areas that you feel like you're not serving. Because it seems like there's sort of a contradiction, right, expanding capacity at a time when you've got the issue of underutilized existing facilities. 
Eugene Putnam: Sure. So absolutely, the purpose of a potential new campus is not solely to increase nationwide capacity. It is in recognition of the role that proximity plays to students' willingness and ability to come to UTI and afford their education, as well as to meet manufacturers' geographical needs. So as we did in Dallas, we didn't open Dallas because we needed more systemwide capacity. We opened Dallas because we identified a part of the country that had demographics and growth aspects that met our hurdle rates in terms of our ability to attract students, our ability to train them and our ability to place them with our industry partners. And what that allowed us to do even though we cannibalized about 100 students out of the -- that would have otherwise gone to Houston or that were going to Houston, we lost 100 in Houston and added 800 at Dallas. So it's that thought process of different areas of the country where there is demand from our students and demand from our industry partners in size and growth aspects that we believe, makes sense to address the proximity challenge. Said another way, it's taking the education closer to the student. 
Peter Appert: Right. That makes sense. And is there a model in which you could actually maybe open a campus even smaller than Dallas to get to full capacity sooner? 
Eugene Putnam: Well, we could, but Dallas is at capacity. We actually have, through the summer starts, some waiting list there. So the -- we cannot -- I guess, let me answer this in a slightly different way. We can operate a campus efficiently and at acceptable margins, smaller than Dallas, but the thought process is really what parts of the country meet those first things that I have talked about, about being able to attract and place students. And then it becomes a sizing issue based upon what curriculums we're going to offer there, what electives we work with our partners that need to be offered there. And that's what we'll really -- those 3 things will kind of triangulate in on the size of the hypothetical facility. Let me just add to that so nobody's -- I say Dallas-type facility. It could be a little bit smaller. It could be a little bit larger. What we're not talking about is another -- for those of you that have been to Avondale, the 280,000-square-foot large boxes. We're talking about more of a metro model where we would expect 70-plus percent of the population to be attracted from within a 50- to 75-mile radius of that campus. 
Peter Appert: Understood. And Kim, I wanted to ask you sort of maybe kind of a philosophical question perhaps. The -- it feels like the underlying trends, as you outlined, in the auto business are clearly getting better, hiring dynamics perhaps better for auto technicians. So it feels like there's a disconnect maybe in terms of the market environment and the enrollment trends that you guys are seeing. And I'm just -- beyond what you spoke to in the call, is there anything that you're seeing happening that might account for that disconnect? 
Kimberly McWaters: I'm not sure -- certain that there's anything that we haven't already discussed. I think, even though we had some hiccups in terms of our inquiry generation and advertising in the quarter, generally, students are very -- or prospective students are very interested in these types of careers. We have the issues that we have to overcome with a traditional academic focus from key influencers such as parents, students and counselors. But I'd say that's hopefully beginning to improve, so I don't think that's driving it. I think the awareness continues to be out there perhaps at a greater level. There has been some positive shift in the national conversation about the skills gap and the types of jobs and STEM jobs that are available to those with this type of training. So I see some of those things that are favorable, but I think it still comes back to students lack the resources to be able to go get the education that they deserve. I mean we're seeing greater challenges again for those campuses who have a higher population that must relocate. And it's a significant difference than what you see at some of the campuses that have a commuter population. So I think the interest and desire is there. I just think they cannot figure out how to get themselves to a UTI campus and pay for their education given the hardships that their family or that they personally might have faced. 
Peter Appert: And then Eugene, just one more thing, please. The loan program, are there any regulatory issues that are more relevant on your ability to continue to offer these programs? And any thought that you might have to start recognizing the revenue associated with these programs on a real-time basis, I mean? 
Eugene Putnam: Yes, in reverse order, absolutely not. In fact, we have this conversation with TWC all the time. And it is not something that the way our program is structured now will at some point cause an accounting change. This is the appropriate accounting for the way our program is set up. And absent any pronouncement from the FASB, it won't change. In terms of the hypothetical about regulatory constraints, there's nothing that we're aware of. Obviously, we see the press of what some other programs are doing. Our programs are mirrored after the Title IV programs in almost all respects. So it's an interesting question, but there's nothing that I'm aware of at this point in time that would suggest any changes that are necessary to it. 
Operator: Our next question comes from Jeff Silber at BMO Capital Markets. 
Jeffrey Silber: In your prepared remarks, you mentioned something about the military axis continuing to be a challenge. I'm just wondering if we can get a little bit more color on that. And historically, what percentage of your population came from that channel? 
Kimberly McWaters: Good question. If you look at our, I guess, entire population, it's been trending at about 10% to 12% coming from that specific channel. Although, there is better than 20% in school who receive some sort of VA benefits. So this is an -- it's similar to how we have our representatives out at the high schools versus those at the campuses responding to media inquiries. And it's simply a change in their philosophy on transition programs, largely coming from an executive order some time ago about what types of schools and programs will have access to those veterans who are transitioning off the base and back into civilian workforce. We have been very responsive to the requirements and needs on an individual base standpoint, have developed strong relationships out there so that we are able to offer assistance to students who have interest in our programs. But it is more challenging. And some of the impact there is that we are having to talk with students much earlier in the pipeline, and I think that is also weighing on our show rates as well because, typically, it was more at the point of them actually transitioning out. So it's something that continues to weigh on us, although we are very focused on it and investing the resources necessary to keep doors open so that we can help our veterans in any way that we can. 
Jeffrey Silber: And then just a couple of quick numbers questions for Eugene. If you could remind us what your budget is for capital expenditures for the current fiscal year. 
Eugene Putnam: This current year ought to run $15 million, plus or minus. 
Jeffrey Silber: Okay. And I know it's a little bit too early to talk about 2015, but any change in trends based -- just for that line item? 
Eugene Putnam: We will be up a little -- all else equal, we'll be -- we should be up a little bit from that because of the rollout of the diesel program in Orlando. So absent any new campuses or anything like that, I'd say $18 million, give or take. 
Jeffrey Silber: Okay, that's helpful. And I know you were very detailed about the impact of the deferred tax item on your tax rate, but assuming that we kind of say status quo, what should we be modeling for tax rates for the rest of the year? 
Eugene Putnam: The rest of the year, I would model kind of in that 40%, 42% range. I don't think we will have much impact the rest of the year from the deferred taxes. 
Jeffrey Silber: And that's a good rate going forward for long term? 
Eugene Putnam: No. We have -- for a couple of years, we're going to have deferred taxes that roll off, so I can't really give you too good a guidance going forward. What I would suggest you do is kind of model it at that 40% rate and understanding that there's going to be a plus or minus each quarter that, as we get 6 months out, we'll try to give you better guidance on. 
Operator: The next question comes from Corey Greendale of First Analysis. 
David Warner: This is David Warner for Corey. I just wanted to dig in just a little bit more on the opportunities for using available capacity with or with addition -- adjacent curriculum. I know you mentioned the diesel program being expanded, but is there any other hot areas in -- where it would make sense that you could use that capacity without having to invest significantly in retooling your space or developing new curriculum, anything in oil... 
Eugene Putnam: Well, yes, I mean I'm not going to -- there are skilled trades. Let's leave it at that without getting specific as to what they are that we are looking at. And in some cases, they would be something that would make sense in all of our campuses. In some cases, they would make sense in a specific campus either because of some geographic interest or demand from industry or because of fixed-asset capacity of a specific campus that we have, but those are the types of things that we're looking at. And hopefully, within the next 6 months or so, we'll have something a little bit firmer to talk about. 
David Warner: Okay, great. And then are you still anticipating $13 million worth of scholarships in this year? And maybe just a little bit of color on how you're targeting those to drive the better conversion or show rates. 
Kimberly McWaters: Yes, we do expect to offer around $13 million. What the acceptance rate or utilization rate will be is unknown. I'd say that, roughly, probably 60% of the scholarships that are -- either need based and/or merit based but excluding the military, 60% of those are probably merit-based with high school competitions and recognizing academic success. The merit -- in addition to the merit and need based, we do have specific scholarship programs for the military, and it is not need or merit based. It's simply based on their -- the designation as being a veteran. So does that answer your question? 
David Warner: Yes. And just finally, maybe a broader question. I hear that -- I understand that the major trend is still affordability, maybe with a footnote of some increasing competition from the job market. So maybe just talk a bit about how you're thinking about the cyclicality of the business at this point. Is it sort of segmented, where a stronger economy helps you on the high school area but potentially hurts you with the competition from the job market in the adult military segment? Or is that the way you're thinking about it? Or what drives starts growth from here from maybe a macro standpoint? 
Kimberly McWaters: Sure. I think you're directionally correct in that, students coming out of high school, typically, they may feel it somewhat from an employment or an economic cycle, but generally, they're going to go to school or do nothing. And that's not driven by whether or not the employment is changing. With the young adults -- or older adults, the career changers, that certainly does impact them, especially with the recession. So ideally, we would like the recession or the economy to improve enough such that they have the funds to relocate to go to school, and that would support themselves, but that they also see the value of an education over the long term and are not forced or feeling pressured to take a job simply because they've been out of work. So we definitely will be facing headwinds with the adult population returning to work and some of the things that Eugene mentioned earlier with the shorter-length programs, different sessions. And even campus locations help us address those headwinds for the working adult. So we expect that we will continue to focus both on the high school segment and the adults, as well as military. Our strategies within the segments just need to be a little different. 
Operator: The next question comes from Trace Urdan at Wells Fargo. 
Trace Urdan: My first question was, I wondered if, given the competition with the employment market, Kim, whether you guys have tested or looked at the feasibility of more part-time programs that would allow students to extend the time that they're in school, or whether that just runs afoul or Title IV limits. 
Kimberly McWaters: Well, we haven't really looked at part-time in a long time. We had years prior, but for the most part, what we found in our previous research was that students ultimately do want to complete their education in a reasonable period of time. And our students are going to school 5 days a week, but if our schedules are such that it does allow them opportunity to work either in the morning or in the evening, many -- most of them can find a way to support themselves while they're at school. It's simply getting them to school and helping them leave behind a job that they have perhaps in another market and securing one that they have here. But I wouldn't say never, but I'd say based on what we've looked at in the past, it overall did not tend to help the bigger issue. 
Trace Urdan: Okay. And then the other question I wanted to ask you is whether you felt like this was maybe a time or whether there was an opportunity for consolidation in the automotive space. I know that you've indicated that you're looking at diversifying program offerings, but I'm wondering if this isn't a time to leverage some of those shared services expenses and actually look at bringing in some other operators and maybe even rebranding them. 
Kimberly McWaters: Certainly. As Eugene mentioned, with our, I guess, desire to look at potential acquisitions, certainly, those that match our core competency and core business today are of interest. Location and student segment served, as well as employment demand, is the key driver of whether or not that sort of acquisition would make sense. But in theory, in what you're saying, yes, we are looking at that, but we want to make certain that it meets brand standards, quality student outcomes and that it's something overall that we can roll in and build from extending our brand and what is expected of consumers as well as employers. Did you want to add something? 
Trace Urdan: Okay, great. And just to clarify that answer: When you say employment availability, are you referring to opportunities for students to work part-time while they're in school? Or are you talking about placement employment? 
Kimberly McWaters: Both. It would need to be both. We need to have -- unless it is a young population that does not need to support themselves, and I can't envision something like that, we would need a market sizable enough to support students working while they're going to school. It is something that our employers do require. And then certainly, we want to make certain that there is employment demand in and around that campus, as well as the regions that would be supporting it. 
Operator: [Operator Instructions] At this time, we show no further questions. Would you like to make any closing remarks? 
Kimberly McWaters: I would. Thank you, operator. And thank you, all, for joining us today. We very much appreciate your questions and your interest in Universal Technical Institute. We look forward to updating you on our next earnings call, which is scheduled for Tuesday, August 5.
 Have a great evening. Thank you. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.